Operator: Good afternoon, everyone, and welcome to EVERTEC's Second Quarter 2020 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the call over to Kay Sharpton, Vice President of Investor Relations. Please go ahead.
Kay Sharpton: Thank you and good afternoon. With me today are Mac Schuessler, our President and Chief Executive Officer; and Joaquin Castrillo, our Chief Financial Officer. Before we begin, I'd like to remind everyone that this call may contain forward-looking statements and should be considered in conjunction with cautionary statements contained in our earnings release and the company's most recent periodic SEC report. During today's call, management will provide certain information that will constitute non-GAAP financial measures under SEC rules such as adjusted EBITDA, adjusted net income and adjusted earnings per common share. Reconciliations to GAAP measures and certain additional information are also included in today's earnings release and related supplemental slides, which are available in the Investor Relations section of our company website at www.evertecinc.com. I'll now hand the call over to Mac.
Morgan Schuessler: Thanks, Kay, and good afternoon, everyone. While we were impacted by the pandemic, we were encouraged to see improvement throughout the quarter in our transaction-based business results. We have continued to execute on both product innovations and our priorities in Latin America. Beginning on Slide 4, total revenue was $118 million, a decrease of 4% compared to 2019. Adjusted EBITDA was $50 million, a 13% decrease as compared to the prior year and adjusted earnings per share was $0.38, a decrease of 25% compared to last year. Despite the headwinds, we generated significant operating cash flow year-to-date of $87 million, $11 million above prior year due to our results and effective cash management. We returned approximately $14 million to our shareholders through share repurchases and dividends. Additionally, our liquidity as of June 30 was $234 million. Moving on to our business update on Slide 5 for Puerto Rico, as the Puerto Rico government started to reduce restrictions beginning in early May, there was continued improvement in sales volume and transaction volumes with significant uplift after June 16. Most businesses were allowed to reopen at that time, including entertainment venues with some restrictions such as required masks and limitations on the maximum capacity. Our Merchant Acquiring revenue increased from a trough in April to more than a 20% increase year-over-year in June, likely due to pent-up consumer demand and the benefits from federal programs such as CARES and other funding from the government of Puerto Rico. We continue to focus on serving our clients' needs on innovation and on executing new opportunities. For example, in the second quarter, we worked with the Department of Labor to distribute unemployment benefits that were awarded as part of the CARES Act. Additionally, we engaged a new contract with the Department of Education, in which we recently provided new computers in support to public education teachers. Our innovation-related to the ATH network continues to benefit us, as we saw a significant uptick in our digital payment channels. For example, our ATH Movil P2P transactions in June were up over 50% compared to last year, and our ATH Movil business revenue increased more than 400% over last year. We are encouraged to see consumers embracing these digital solutions as this trend has the potential to continue to drive additional growth of the payment market in Puerto Rico. Lastly, we are excited about our recently launched contactless functionality through QR codes with over 400 businesses now using this feature. This solution allows the consumer to use their ATH Movil app for a contactless payment transaction at the point of sale. On Slide 6, you can see an example of the transaction. The user takes a picture with their phone of the QR code and that initiates a payment. The feedback has been highly positive from both the businesses in the pilot as well as the consumers. Most of the fast-food restaurants on the island have implemented this payment option and we will continue to expand this convenient solution to more of our merchants over the coming months. On Slide 7, I'll review our Latin American business. Regarding the environment, we are seeing different responses to the COVID-19 pandemic and varying levels of restrictions and re-openings. For example, in Santiago, Chile, there was an initial limited reopening and then as cases of COVID-19 began to rise, again, lockdowns and restricted measures were reestablished. Costa Rica and Panama have also returned to restrictions due to a rise in new cases. Mexico is allowing construction and tourism to reopen even though cases have continued to rise. In Brazil, cases continue to rise and the response measures vary between states. Despite the ongoing impact of COVID-19 in these geographies we serve, we remain focused on executing our LatAm growth initiatives. As it relates to Santander Chile and Citibanamex, we continue to make progress with each client throughout the quarter and are targeting to launch both programs before the end of 2020. While our results for the quarter were impacted by the effects of the pandemic, both in Puerto Rico and Latin America, we believe our unwavering investment in our employees, customers and communities during this time of crisis, strengthens our relationship with each of our stakeholders over the long run. With that, I will now turn the call over to Joaquin.
Joaquin Castrillo: Thank you, Mac, and good afternoon, everyone. Turning to Slide 9, you will see the consolidated second quarter results for EVERTEC. Total revenue for the second quarter was $117.9 million, down 4% compared to $122.5 million in the prior year, primarily reflecting the impact of COVID-19. Our revenue improved every month throughout the quarter as business has reopened in Puerto Rico, and we benefited from growth in our digital payment solutions as well as from new services delivered. We also had a headwind from onetime revenue of $2.5 million in the prior year. Total revenue for the 6 months was $239.9 million and down 1% year-over-year. Adjusted EBITDA for the quarter was $50.2 million, a decrease of 13% from $57.8 million in the prior year. Adjusted EBITDA margin was 42.6%, and this represents a 460 basis point decrease compared to the prior year. The decrease in margin primarily reflects the decline in transactional revenue, the increased mix of business to lower margin revenue and increased costs in part driven by COVID-19. The adjustments in the quarter for adjusted EBITDA included our normal adjustments for non-cash equity, and share-based compensation and also included a $2.8 million charge related to transactional fees. Year-to-date, adjusted EBITDA was $106.5 million, a decrease of 8% from $115.4 million in the prior year. Adjusted net income for the quarter was $27.8 million, a decrease of 25% as compared to the prior year, primarily reflecting the lower adjusted EBITDA as well as increased operating, depreciation and amortization, partially offset by lower cash interest expense. Lower cash interest was partially due to a 25 basis point improvement in our interest rate as a result of our debt multiple dropping on the 2 times threshold last quarter. Our adjusted effective tax rate in the quarter was 20.2%, reflecting the impact of COVID-19 on the mix of business as well as a discrete tax item and other taxable items in foreign jurisdictions. Excluding the unusual items in the quarter, we would expect to continue to see our tax rate for the back half of the year and higher than last year to a range of 17% to 19%, assuming some continuation of revenue mix shifts related to COVID-19. Adjusted EPS was $0.38 for the quarter and decreased 25% compared to the prior year. Year-to-date, adjusted net income was $61.3 million, down 17%, and adjusted earnings per common share was $0.84, a decrease of 17% from $1.01 in the prior year. Moving on to Slide 10, I'll now cover our segment results, starting with Merchant Acquiring. In the second quarter, Merchant Acquiring net revenue decreased 8% year-over-year to approximately $24.8 million driven by the impact of lower sales volumes and non-transactional revenue as a result of COVID. The revenue improved each month from a low of negative 33% in April, to growth of over 20% in June, driven primarily by the continued opening of the economy and the pent-up consumer demand as well as extra funding from both local and federal programs as a result of COVID. The merchant mix during the quarter shifted from an unusually high share of supermarket and pharmacies to a more normal mix with most businesses being opened by the end of June, although with some limitations related to social distancing measures. We also benefited from a higher average ticket and higher spread in the quarter. Most recently, on July 16, the [governor] [ph] returned to some more restrictive measures, which resulted in a decline from the highs we experienced in June to a more modest increase as compared to last year over the past 2 weeks. Given the uncertainty are on COVID and the potential impacts to consumer spending behavior, it remains difficult to forecast the impact on our future results. Adjusted EBITDA for the segment was $13.4 million, up 9%. Adjusted EBITDA margin was 54%, up approximately 830 basis points as compared to last year, reflecting the impact of lower operating expenses resulting from the lower transaction volume and a higher average ticket. We would likely see these elevated margins decline as average ticket begins to normalize. For the 6-month period, Merchant Acquiring revenue decreased 5% to $49.9 million, primarily due to the same reasons I referenced for the quarter. Adjusted EBITDA year-to-date for the segment was $24.7 million, up 2%, and adjusted EBITDA margin was 49.4%, a 360 basis points increase as compared to last year. On Slide 11, you will see the results for the payment services Puerto Rico and the Caribbean segment. Revenue for the segment in the second quarter was $27.5 million, down approximately 10% as compared to last year, primarily due to lower transaction volume, mainly for the same COVID-19 reasons that impacted our merchant segment. Transaction volumes improved throughout the quarter, ending at negative 6% for the month of June from a low of negative 43% in April. We experienced a similar decline and improvement on ATM transaction volumes, although these have not come back as strong. These were partially offset by ATH Movil and ATH Movil Business transaction growth as well as new transactional volumes and incremental revenue recognized from new services such as the healthcare benefit card we mentioned earlier this year. Adjusted EBITDA for the segment was $13.3 million, decreasing 35% as compared to last year. Adjusted EBITDA margin was 48.3%, down over 18.3 percentage points as compared to last year, primarily due to lower revenue and higher operating expenses related to EBT post-implementation costs as well as increased operating expenses related to COVID. As a reminder, this segment has mostly fixed costs related to technology infrastructure. Year-to-date revenue for the segment was $57.3 million, down approximately 8% as compared to last year. Year-to-date adjusted EBITDA was $29.4 million, down approximately 29%, and adjusted EBITDA margin was 51.2%, and down approximately 15.4 percentage points as compared to last year for the same reasons previously mentioned. On Slide 12, you will see the results for our Payment Services LatAm segment. Revenue for the segment in the second quarter was $19.8 million, down approximately 6% as compared to last year. This decline was driven in part by COVID-19 impact on transactional revenue, specific customer initiatives as well as the negative effect of anticipated attrition of approximately $1 million. FX impacted the segment negatively by approximately $1.2 million as the Chilean peso, the Brazilian real and the Colombian peso all declined between 20% and 40% when compared to the prior year. These negative impacts were partially offset by the acquisition of PlacetoPay as well as progress on projects throughout the quarter. Adjusted EBITDA for this segment was $6.1 million, and adjusted EBITDA margin was 30.7%, down approximately 610 basis points as compared to last year, driven by lower revenue described previously. For the full year, we continue to anticipate client attrition in 2020 will be between 3 million to 4 million. And based on current trends in foreign currency, we will likely continue to see a negative impact on a year-over-year basis. Year-to-date revenue for the segment was $41.4 million, down approximately 1% as compared to last year. Year-to-date, adjusted EBITDA for the segment was $14.3 million, and adjusted EBITDA margin was 34.6%. On Slide 13, you will find the results for the Business Solutions segment. Business Solutions revenue for the second quarter was up approximately 1% to $55.5 million. Revenue increase in the quarter was primarily due to new services for Popular as well as the government of Puerto Rico, partially offset by onetime project revenue and hardware/software sales that benefited last year by approximately $2.5 million. For the quarter, adjusted EBITDA was $24 million, and adjusted EBITDA margin was 43.3%, down approximately 70 basis points as compared to last year. The adjusted EBITDA margin decrease was primarily driven by higher operating expenses related to COVID-19. Year-to-date, Business Solutions revenue was $111.4 million, up 5%, and adjusted EBITDA for the segment was $51.5 million, with a 46.2% margin. Moving on to Slide 14, you will see a summary of Corporate and Other. Our second quarter adjusted EBITDA was a negative $6.6 million, a decrease of 4% compared to prior year as we control expenses such as travel and professional fees as well as lower incentive compensation accrual. Our adjusted EBITDA as a percentage of total revenue at 5.6% was approximately flat with the prior year. Year-to-date, our Corporate and Other was $13.3 million, or 5.6% as a percentage of total revenue, unfavorable approximately 20 basis points when compared to last year. Moving on to our year-to-date cash flow overview on Slide 15. Our beginning cash balance was approximately $131 million, including restricted cash of approximately $20 million. Net cash provided by operating activities was approximately $87 million, an $11 million increase as compared to prior year, and this includes the impact of an improvement in our collections of accounts receivable and to a lesser extent, benefit from tax payment deferrals and waivers in some countries related to COVID-19 that we were able to take advantage of. Capital expenditures year-to-date were approximately $18 million. We continue to anticipate approximately $45 million for the full year and some acceleration of CapEx in the third quarter. We paid approximately $24 million in long-term debt payments, $3 million in withholding taxes on share-based compensation and $2 million of other debt pay downs. Well as of quarter end, we continue to have $15 million drawn on our revolver, resulting in a total net debt decrease of approximately $30 million. Subsequent to the end of the quarter, given the increased confidence in our cash and liquidity position we repaid the full revolver balance. Year-to-date, we paid cash dividends of $7 million. Although we did not repurchase any stock in the quarter, total repurchases of common stock year-to-date were approximately $7 million. We have approximately $23 million available for future use under the company's share repurchase program. We recently announced another $0.05 dividend to be paid on September 4, 2020, to shareholders of record as of August 3. Our ending cash balance as of June 30 was $169 million, and this included approximately $22 million of restricted cash. Moving to Slide 16, you will find a summary of our debt as of June 30, 2020. Our quarter ending net debt position was approximately $376 million, comprised of approximately $147 million of unrestricted cash and approximately $523 million of total short-term borrowings and long-term debt. Our weighted average interest rate was 4.3%. The net debt to trailing 12-month adjusted EBITDA was 2.1 times, an increase from last quarter, primarily as a result of our reduced trailing 12-month adjusted EBITDA impacted by COVID-19. As of June 30, total liquidity was over $234 million. This balance excludes restricted cash and includes the available borrowing capacity under our revolver. Given the very unique nature of the COVID-19 pandemic and continued uncertainty, we are not providing an annual guidance. We were encouraged that June was particularly strong, but it may not be representative of future results for the longer-term impacts of the pandemic. We are pleased with the new Department of Education contract that Mac mentioned, which will provide additional revenue during the third quarter and we continue to look for opportunities in which to help the government as well as our other clients manage through the situation. In summary, it was positive to see sequential improvement in the second quarter. We continue to monitor the COVID-19 situation and resulting impact to our business. We are executing well against our longer-term initiatives such as innovation in Puerto Rico, new services with the government and our progress on key projects in Latin America, all of which should benefit us over the longer term. We will now open the call for questions. Operator, please go ahead and open the line.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from John Davis with Raymond James. Please go ahead.
John Davis: Hey, good afternoon, guys. Appreciate the commentary on Merchant in June and then kind of where we are in July. But any commentary on some of the other segments and kind of how they performed July to date. I think last quarter you gave kind of an update on all the segments for April. So just maybe some - at least some color or commentary for July would be helpful.
Joaquin Castrillo: Sure, John. This is Joaquin. In terms of payments, the correlation obviously to what we mentioned in Merchant Acquiring will be there. So we have seen transactions come back strongly compared to, obviously, April and May. As I mentioned in the prepared remarks, there was a kind of a rollback of some of the more restrictive measures, still a lot more flexible than what we originally had here in the month of April, and that has slowed down a bit, what we saw in the month of June. So transactions continue to improve and we are encouraged by that movement in the month of July. But it has slowed down a little bit just compared to what we saw in the month of June. When we look at LatAm, very similar as well, although, as we mentioned last time in LatAm, just given the diversity of products and the fact that not all of our revenues are transactionally driven, the volatility that we have in that segment is not the same. But we have seen transactions come back from a trough in the month of April/May. And in the case of Business Solutions, as you can see, I mean, we still reflected some slight growth for the quarter. We continue to have opportunities with the government. We mentioned the Department of Education contract that we were just awarded and that should be helpful to Q3. But, overall, that segment continues to be steady.
Morgan Schuessler: Yes. So, John, what you'll see is in Puerto Rico, like much of the country in the world, there's been a slight pullback in sort of restrictions. But business is still operating on the island. And then as Joaquin said, we won some new business with the government. So we found ways to continue to help support them through the pandemic and finding new business opportunities.
John Davis: Okay. That's super helpful. And then, Mac, I appreciate the commentary on ATH revenue up 400%. Any other stats you can give? Can you size that for us? How meaningful is that today, user base, increase in transactions per user? Any other kind of stats that you could give to help us with ATH global and kind of the progress we're seeing there?
Morgan Schuessler: Yes, so let me break it down in a couple of different components. As it relates to my opening comments, I mean, again, like the rest of the world, we're seeing a big shift to digital transactions. And we are doubling down on our investments in that area. So on ATH Movil, the P2P app, we saw a 50% increase in transactions. But more interesting on ATH Movil business, where a small business like a food-truck can accept these digital payments from the debit accounts, we saw a 400% increase in June. Additionally, we talked about that, and we did a press release last week, we now are rolling out QR codes. So as most people know, ATH is the number 1 payment brand on the island. And with ATH Movil, now, you can actually walk into a McDonald's or Burger King, many of the fast food restaurants, actually most of them, take a photograph of the QR code and now pay at the cash registry without a card being present. So we're seeing a big shift to digital. Some of it is defensive, like the fast-food restaurants or existing customers, but maybe we'll displace some cash with that. And some of it is brand-new categories of spend like ATH Movil business, where we're seeing new small business enterprises that used to accept cash that now no longer want to accept cash.
John Davis: Okay. Thanks. And then on the capital allocation front, do you guys feel comfortable yet, obviously, in the second quarter you're buying stock back, given kind of what's going on? Do you feel comfortable at buying stock back or maybe potentially doing a deal later this year? Just kind of how are you thinking? Obviously, the balance sheet is in great shape. But just trying to figure out kind of when and if you guys would be comfortable doing something with the capital in the near to medium term?
Morgan Schuessler: Yeah. What I would tell you is, again, everyone, I think, moved into the pandemic with a significant amount of caution. As Joaquin stated, we did pull down on our revolver and we've now paid all that back. So as we move back to normal levels, we will sort of rebalance our capital allocation sort of work. But again, we still want to be cautious, given that the pandemic is still spreading through most of the economies where we do business.
John Davis: Okay. And then last quick modeling one for Joaquin. The higher tax rate, is that something you see just kind of in the back half of this year? Or is that something we could expect kind of going forward? And maybe just a little color on what's driving that tax rate higher. I know you said revenue mix-shift, but anything else there to help us as we model all the out-years?
Joaquin Castrillo: Sure. The expectation of this higher tax rate is really the second half of 2020, taking into consideration that we get to a normalized level of kind of business mix by next year. So we don't expect this to be kind of the run rate into future years, John, but it is something that we need to continue to monitor. And to the extent that the pandemic continues to have an impact on the mix, then we'll come back and kind of realign that rate. But the expectation is that as we come back to what we had pre-pandemic that their rate comes back to a normalized 13% thereabouts of run rate into the future.
John Davis: Okay, great. Thanks guys.
Morgan Schuessler: Yeah, thanks, John.
Operator: Your next question comes from Bob Napoli with William Blair. Please go ahead.
Robert Napoli: Good afternoon.
Morgan Schuessler: Hey, Bob.
Robert Napoli: Good to talk to you. I guess, just if you look at the trends, and I know it's very hard when an economy is opening and closing to forecast your business. But given that April was by far the worst months and June was by far the best, if the trends stayed like they are now, I mean, I would guess that revenue should be up in the third quarter versus the second quarter. Is that a fair assumption?
Morgan Schuessler: So, what I mean, Bob, what I would say is, as we all know, these are unprecedented times. But the one thing that I think everyone has learned is how to accommodate the pandemic in doing business, in going about business and going out and getting essentials and that type of thing. So our hope would be that we've learned to adapt and that we won't see the closures to the significant level than we saw in the past, that we saw in April. But again, unprecedented times, we can't predict the future at this point. But we do believe that the world is learning to adapt with the pandemic. And so, that should be helpful. I don't know if...
Joaquin Castrillo: No, the only thing I would add, Bob, is yes, June was the best month, but there are certain factors in there that we are looking at, that we know aren't necessarily sustainable at those levels, right? We know that there's a lot of pent-up demand. One of people just staying in their homes for over a long period of time, not doing much of buying and then having this kind of freedom to go out, drove some of that volume. And then, we also have these federal programs as well as the local programs, putting additional money to people's pocket. So we're seeing a really high average ticket which is something that assimilated to what we saw after the hurricane, where all of that funding coming into the island and into the economy drove up a real high average ticket. And the expectation would be that that will normalize over time. I think, one, those programs start to kind of expire. And Mac said, people kind of get used to just going back to normal and doing their regular purchases as they did in the past. So as we said, definitely a great month and July looks strong as well, but there are certain things in there that we know aren't necessarily sustainable over a longer period of time.
Robert Napoli: Great. And I guess one thing that maybe is sustainable is the ramp-up in digital payments. You happen to have a lot of cash in the markets you serve. So maybe does this - do you think this accelerates your potential growth rate post-pandemic given the shift?
Morgan Schuessler: We do. I mean, what we found is whether people are going to their phone to check the deposits from their unemployment deposits, whether they're going to use ATH Movil, because they want to avoid a cash transaction. And now they can go buy food by scanning a QR code, we do think that it's going to change people's behaviors permanently, to where they are able to use ATH Movil and the need for ATH Movil is greater. So I think it's going to be great for that business and also PlacetoPay. We bought the gateway out of Colombia. And we are localizing that as well. But we do believe the shift to digital is because it's forced people to change their behavior. And once they change it, we think it will be difficult to go back.
Robert Napoli: Yeah, agreed. Last question, and I'll turn it over. Citibanamex and Santander Chile, both is expected to launch before the end of 2020. Do you have any thoughts on what the size of those businesses could be over the next couple of years? There's some doubt on the revenue contribution...
Morgan Schuessler: My hope is that if we launch them by the end of this year, there'll be a next year's guidance.
Robert Napoli: Okay. And to be in next year's guidance, it would have to be at least a couple of percent of revenue? Or…
Morgan Schuessler: Well, what we have said is that Santander Chile will be meaningful to that. And the combination of the 2, in particular, will be meaningful to the LatAm segment. And over time, Bob, as you and I've discussed, our plan is to have multiple clients in countries like Chile with multiple products. So we'll have cross-sell opportunities. So again, we are on track and very focused on both of those projects. We still plan on launching those by the end of 2020. And it will be material to that segment in 2020 and beyond. And not just the revenue in those deals themselves, but the reputation that it builds for us throughout the region to land new business.
Robert Napoli: Okay. And then your balance sheet looks pretty strong right now. And are you - are there opportunities cropping up that you're comfortable taking - investing in M&A wise or other at this time.
Morgan Schuessler: So I mean M&A has been an important part of the company, particularly as we grow outside of Puerto Rico to acquire the right products and to expand our role of that. I would tell you, it is - there is still a little bit of dislocation in valuations, and it is a bit more complicated to due diligence virtually. But it is still something we're very focused on. And if we find the right thing, we will look at it very, very closely.
Robert Napoli: Thank you. Appreciate it.
Morgan Schuessler: Thanks, Bob.
Operator: [Operator Instructions] Our next question comes from James Faucette with Morgan Stanley. Please go ahead.
Priscilla Russo: Hi. This is Priscilla on for James. Just wanted to follow-up on the Santander Chile timeline that you set out. I think you mentioned you want to launch by end of the year. Just wanted to hear whether or not everything is going as you expected, how is product flash collaboration going on there, given the restrictions that we've seen in different Latin American markets?
Morgan Schuessler: Sure. So what we've said previously, as we processed all of the major brands already, process the transaction, and we are on schedule. The thing that has slowed us down are just the closures of business, the move of Santander Chile to a virtual environment, so just the disruption of the pandemic generally. But we are very confident that given our current plans, we will launch this before the end of the year.
Priscilla Russo: Great. And then on ATH Movil, I believe you mentioned the strength in the business. Could you guess or give us some sense as to what portion of that strength is perhaps being driven by stimulus/unemployment funds that are going through versus more recurring permanent shift towards digital?
Morgan Schuessler: So there's been an ongoing shift to digital even before the pandemic. We saw significant increases in ATH Movil being used for P2P transactions, when we rolled out the donation feature, when we rolled out the business feature for small businesses. What we see now is a significant acceleration in that adoption. And some of it is potentially unemployment funds that people now have in their pocket or social programs, but it's just become a general trend for all sources of income. Regards to the source of income, that the preferred way to spend now is there's some type of digital application.
Priscilla Russo: Perfect. That's good to hear. And just one last one. You mentioned some of the new work that you're doing for the government in Puerto Rico. Can you give us some color as to what percentage of that or at least what portion of it is more transitorily related to this allocation in different stimulus funds versus some potentially more permanent relationship from here?
Morgan Schuessler: So we have a large relationship with the government in Puerto Rico across multiple agencies. The one that we announced on this call was the Department of Education, is to actually deploy and help maintain PCs in the public school system. So there will be immediate impact to 2020 for the initial transaction. And then there'll be an ongoing benefit for a few years on the maintenance piece as well. So that is - that will have impact across multiple years. But as we saw after the hurricane, when we were able to do more business with local commercial clients as well as the government, we're finding now with the pandemic, we are becoming the partner of choice on the island, when they look for technical partners, given our commitment to the island and the size and scale and stability that we can provide.
Priscilla Russo: Perfect. Thank you very much.
Morgan Schuessler: Thank you.
Operator: This concludes the question-and-answer session. I would now like to turn the conference back over to Mac Schuessler, for any closing remarks.
Morgan Schuessler: Thank you. I want to thank each of you on the phone for your support of EVERTEC. We hope that you stay safe and look forward to speaking with you in the future. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.